Operator: Welcome to the McCormick third quarter 2008 conference call. (Operator Instructions) It is now my pleasure to introduce your host Joyce Brooks, Vice President of Investor Relations for McCormick.
Joyce Brooks: With me today are Alan Wilson, President and CEO, Gordon Stetz, Executive Vice President and CFO and Paul Beard, Senior Vice President Finance and Treasurer. Following our remarks we look forward to discussing your questions. Before we begin our discussion please note that during the course of this conference call we may make projections or other forward looking statements and actual results could differ materially from those projected in our forward looking statements. In addition, information we present today which excludes restructuring charges are not GAAP measures. We present this information for comparative purposes along side the most directly comparable GAAP measures. Please refer to this morning’s press release which is posted on our website for more specific information on these topics. As indicated in the press release the company undertakes not obligation to update or revise publicly any forward looking statements whether as a result of new information future events or other factors. It is now my pleasure to turn the discussion over to Alan.
Alan Wilson: The third quarter was an exciting time for McCormick. First, as reported on August 1st we completed our acquisition of Lawry’s. To complete this deal we sold our Season-All business on the same date. The 30 day comment period for Lawry’s has concluded and the FTC decision is now final. The integration of this business is proceeding well. Steps to transfer production are underway and this project should be completed by early 2009. We recently conducted a consumer research study that measured the level of brand equity for Lawry’s and the results exceed the previous levels we’ve seen. To build upon this our marketing team has developed two new marinade items and a new seasoning blend that will launch early next year. By the second quarter we will launch new marketing support for the brand. If you recall back in our June conference call we indicated that the third quarter would be a period of increased marketing spending designed to maintain our growth momentum. Compared to the year ago period we increased marketing support by 30% this quarter. In the US we ran print ads to gain consumer awareness of our new flavored pepper and crusting blend products. In selected regions consumers saw outdoor advertising for Old Bay seafood seasoning. To attract new users we stepped up our television ads for Grill Mates and Grinders, both of which have a relatively low household penetration of around 10%. We also increased our promotion and advertising in Europe. As you have heard from other food companies we are in a tough environment with volatile material costs and consumers that are under pressure. The strain on consumer spending was evident in our US Industrial business where reduced demand from restaurant customers affected sales and profits. In Europe, as we moved through the quarter both our Industrial and Consumer segments began to feel the impact of a rapid economic decline especially in our largest markets, France and the UK. Across all of our major markets continue to realize pricing that is sufficient to offset our higher costs while minimizing consumer trade down to private label and economy brands. As US consumers shift to alternative channels we have worked to grow the distribution of our brands with these customers. In the second quarter we announced new distribution with a regional value price chain and I’m pleased to report within the third quarter we expanded a limited line of McCormick products to 40 additional items with a large non-grocery customer. I’m proud of our employees success in optimizing our product distribution and store merchandising, achieving the right marketing mix, introducing new products and improving cost efficiencies throughout the supply chain. Our accomplishments in each of these areas are evident in our financial results this quarter and have created good momentum for the fourth quarter. I’d now like to turn it over to Gordon to discuss our financial results for the third quarter in more detail.
Gordon Stetz: I would like to add my welcome to those of you who have joined us today. I’m going to begin with comments on the total business then move into each of our two segments. Third quarter sales were up 9.1% with a 2.9% benefit from foreign exchange rates. With a weak dollar through the first three quarters exchange rates have had a positive impact on sales. With some strengthening of the dollar, exchange rates could have a negative sales impact in the fourth quarter. In addition to the currency benefit we were able to realize 4.4% of pricing in the third quarter. Volume and product mix were up 1.8% with a strong contribution from the Consumer business partially offset by lower volume and mix in the Industrial business. For the total company acquisitions added 2.9% to the quarter. These included Lawry’s, Billy Bee Honey and Thai Kitchen Europe less the reduction in sales from the disposition of Season-All. Gross profit dollars rose 8.5% while costs for certain commodities have come down a bit in the last few months they are still well above last years levels. In the third quarter we were able to offset the impact of these higher costs with increased prices. We also had a positive impact on margins with a greater increase in Consumer versus Industrial sales. As a result, gross profit margin declined just 20 basis points this quarter compared to a 60 basis point decline in the second quarter and 100 basis points in the first quarter. We continue to face cost increases that include packaging materials, and certain herbs and spices as well as other ingredients. We will consider further price increases and have already announced the second 2008 increase for some of our Consumer products in Europe and Canada as well as our Zatarain’s rice products in the US. Our work to improve productivity throughout the organization continues especially in Europe where restructuring actions are still underway. Excluding restructuring charges in the third quarter 2007 and 2008 operating income rose $3.3 million or 3.5%. Increased sales and gross profit led to higher income including the impact of acquisitions. As part of our 2008 plan to increase marketing support behind our brands we stepped up our third quarter activity. This added $6.8 million to promotion and advertising expense for the third quarter. Below operating income lower interest rates continued into the third quarter leading to a favorable variance in interest expense. We reported two items this quarter related to the Lawry’s transaction. One was our $12.9 million gain on the sale of Season-All and the other was a $5 million cost related to the rebalancing of our debt structure. These had a net EPS impact of $0.04 slightly ahead of the $0.03 guidance we gave on August 1st. With the impact of some discrete tax items our rate for the quarter was 29.7% below our guidance of 31%. This takes our year to date tax rate to 30.2% although at this time we expect the fourth quarter tax rate to be closer to 31%. Income from unconsolidated operations rose $0.8 million this quarter reversing a decrease in the first two quarters. We have been pleased that our joint venture in Mexico is effectively managing through a tough situation with the higher cost of soy bean oil and increasing volume along with pricing. EPS for the third quarter was $0.52 excluding $0.02 of restructuring charges, $0.07 for the gain on the sale of Season-All and $0.03 for the cost to rebalance our debt structure; adjusted earnings per share were $0.50. In the third quarter of 2007 we reported EPS of $0.43 which was $0.45 excluding restructuring charges. Comparing the adjusted results of $0.50 in 2008 to $0.45 in 2007 the $0.05 increase was comprised of $0.02 from higher operating income and $0.03 from the combination of reduced interest expense, a lower tax rate and higher income from our unconsolidated operations. Let me provide some details about each of our two business segments beginning with the Consumer segment. Across all regions Consumer sales rose an impressive 14.4% with a favorable impact of 3.9% from foreign exchange rates and 7.3% from volume and product mix that included a 4.5% from acquisitions. The remaining increase of 3.2% was due to our pricing actions. In the Americas we grew Consumer sales 15% with a favorable impact of 0.6% from currency. Volume and product mix were up 9.9% and pricing added 4.5% to sales this quarter. Of the 9.9% increase in volume and product mix acquisitions accounted for 5.9% of the increase. As Alan noted we had new and expanded distribution of branded products with non-grocery customers and increases in warehouse clubs. With incremental marketing support we are achieving increased sales of our branded products. In addition, we continue to grow our sales of private label and economy brands. In Europe, Consumer sales rose 11% with a significant increase 10.5% coming from favorable currency exchange rates. Higher pricing also had a positive effect increasing sales 1.2%. This was offset in part by a 0.7% impact of volume and product mix including sales from Thai Kitchen in Europe. Our markets in the UK and France began to feel the impact of growing economic pressure on the consumer. In the UK, for example, shoppers are facing food inflation that has exceeded 8%. Sales of the UK Schwartz brand outpaced the category for the quarter. As we move through the third quarter sales declined in France. In addition to a difficult economy we are also beginning to see signs of trade inventory reductions in this market. In the Netherlands we continue to face stiff competition and are working to regain distribution lost in 2006 with improved merchandising and product innovation. Our team in Europe is working to compete more effectively in this difficult market as they complete several restructuring actions, pass through higher costs in our pricing, introduce new products and optimize our marketing mix. In the Asia/Pacific region we had excellent growth with Consumer sales up 24.8% and 11.7% in local currency. This increase was driven by higher volume and favorable product mix primarily in China. We are encouraged by improvement in Australia with the successful introduction of seasoning mixes for slow cookers and reduced sugar Aeroplane Jelly along with a customized version of the gravity feed merchandising system. Across all regions operating income for the Consumer business was $75.1 million when restructuring charges are excluded. When compared to the third quarter 2007 on this same basis this was an increase of $4.6 million or 6.5% even with the higher marketing spending this year. Year to date we have increased operating income by 7.6% and total marketing support by 17.2%. Moving over to the Industrial business we had some varying results across customer groups and regions. Across all markets we were able to offset the dollar increase in cost with higher pricing. For the third quarter total industrial sales rose 3% and 1.3% in local currency. Higher pricing added 5.8% to sales while volume and product mix were down 4.5%. In the Americas sales were up 0.7% but down 0.2% in local currency. In this region higher pricing of 5.3% was largely offset by lower volume and product mix. Declines in coatings and other restaurant customer products drove much of this decrease. This included some actions on our part to discontinue the sale of certain low margin items. We have been successful in winning the business for several value added new products during the quarter and are working hard to develop new customer partnerships for our Industrial business in the Americas. Industrial sales in Europe increased 0.6% and 0.7% in local currency. Foreign exchange rates had little impact here as our primary exposure is to the British Pound whereas our Consumer business in Europe is affected by both the Euro and the British Pound. We realized a significant amount of pricing which added 9.1% to Industrial sales in Europe this quarter. Volume and product mix declined 8.4% primarily with restaurant customers. As in the US this decline included some actions on our part to discontinue the sale of certain lower margin items. The reduced volume has had an unfavorable impact on our manufacturing efficiencies and we are aggressively pursuing new business in this region. We grew sales in the Asia/Pacific region 25.9% and 14.1% in local currency. Results that were close to what we reported in the second quarter. Pricing had a minimal impact in this region. Higher volumes and a positive sales mix resulted from increased sales of both core and promotional items to quick service restaurants in both China and Australia. Excluding restructuring charges operating income for the Industrial business was $21.3 million versus $22.6 million in the third quarter 2007. Following two quarters of increases lower volume led to a $1.3 million decrease this quarter. We achieved higher profits this quarter in our US Industrial business following the transformative steps taken since 2005. However, the lower volume in Europe caused production costs to be higher in that region and in Canada we had some incremental startup costs associated with their June implementation of SAP. While we continue to collaborate with our Industrial customers to effectively pass through higher costs our attention is on the development of new value added products to support the growth of our food manufacturer and restaurant customers while carefully managing the cost price equation for this business. I want to spend a few minutes on the quarter end balance sheet and our cash flow. At August 31st accounts receivable were up 7.5% compared to a year ago which was below the 9.1% increase in third quarter sales. As reported last quarter we have made progress in renegotiating credit terms with several customers in international markets. Inventory was up only 5.1% compared to a year ago. The $22 million increase was more than accounted for by $16 million of incremental inventory from acquisitions and an estimated $10 million related to higher commodity costs. Including the new debt for Lawry’s debt to total capital ended the quarter at 52.7% compared to 47.4% in the prior year. On September 3rd we issued $250 million in aggregate principal amount of 5.25% notes due 2013 to term out part of the commercial paper issued to fund the Lawry’s acquisition. In light of the current credit markets we remind you that existing bank credit facilities are in place to back up $750 million of commercial paper and are available on a same day basis. Our day to day liquidity is secured through our access to the commercial paper market and our bank lines. Year to date cash flow from operations was $115 million versus $23 million in the year ago period. The primary factors behind this increase were lower payments for restructuring actions, strong collection of receivables, effective management of inventory, and lower retirement planned contributions. Year to date we have used cash and increased debt to fund $697 million of acquisitions, $86 million of dividends and $57 million of capital expenditures. That completes my remarks on our third quarter financial results and it is my pleasure to turn it back over to Alan for our latest financial outlook.
Alan Wilson: We’ve had strong year to date results and are on track to meet our latest financial objectives in 2008. We reaffirm our sales growth projection of 9% to 10% which was increased in August to include the Lawry’s acquisition. At the same time we increased our EPS range by $0.06 to $2.03 to $2.07 adding $0.03 for accretion from Lawry’s, $0.06 for the gain on the sale of Season-All plus $0.03 for the cost to rebalance debt. Since the gain on Season-All came in at $0.07 per share this quarter we are increasing this range by $0.01 per share and are now projecting 2008 EPS in a range of $2.04 to $2.08 range. In addition to the items related to the Lawry’s acquisition keep in mind that this 2008 EPS range also includes $0.10 per share of restructuring charges. We reported 2007 EPS of $1.73 and excluding restructuring charges $1.92. On an adjusted basis the underlying EPS growth rate we are projecting for 2008 is in a 9% to 11% range. As a final remark on our financial outlook for 2008 I also want to reaffirm our guidance for cash from operations of at least $300 million. Let me summarize, we will continue to face challenges in our fourth quarter and into next year with continued material cost volatility an increasingly difficult economy, restaurant industry weakness and most recently headwinds from a stronger dollar. However, as we look to our fourth quarter and into 2009 there are a number of things that give me confidence in delivering strong results. First, the strength of our Consumer brand franchise which is holding up in this higher price environment. Second, the increased marketing support to drive these brands. Third, the new distribution we have won and our new product activity for both Consumer and Industrial businesses. Fourth, our progress with cost reductions and our opportunities to reduce working capital. Fifth, our acquisition strategy and execution. I look forward to sharing our fourth quarter results and a more specific 2008 outlook with you in our January call. To our shareholders and everyone on the call thank you for your interest and attention. We would now like to take your questions.
Operator: (Operator Instructions) Your first question comes from Jonathan Feeney – Wachovia Securities.
Jonathan Feeney – Wachovia Securities: Do you have a cross company volume number excluding Lawry’s, excluding acquisitions and divestitures?
Gordon Stetz: The total company volume for the quarter ‘x’ acquisitions and divestitures was down about 1%. That is a function of really the Industrial business. The Consumer business grew close to 3% and the Industrial business was down on volume.
Jonathan Feeney – Wachovia Securities: Could you give me a little bit more detail on the Industrial business about lower sales to restaurant customers? How powerful is that negative product mix between other industrial customers in food service, what sort of impact is that having and what’s it likely to mean in the quarters ahead?
Alan Wilson: It’s a continuation of the trends that we’ve seen at least in the North American markets where consumers are shifting more to at home eating. Our food service business it comprises both the sales that we make to fast food restaurants as well as our branded distribution business. We are seeing still good strength in our consumer food manufacturer business where we sell seasonings and value added flavors to people who process foods. We’re seeing some mixed results in that. Keep in mind we’ve also exited some additional business in this quarter both in the US and Europe that would cause the sales to be a bit depressed.
Jonathan Feeney – Wachovia Securities: If you could, could you quantify what the impact of sales exits like I noticed ongoing sku rationalization had on that business?
Alan Wilson: It’s a fairly small amount. I don’t have those numbers in front of me.
Operator: Your next question comes from Eric Katzman – Deutsche Bank.
Eric Katzman – Deutsche Bank: Thank goodness you’re in spices and not chicken. I was kind of surprised when you announced you had put through additional pricing this late in the year given how much seasonality you have in your business. Companies like Campbell’s Soup, for example, have been reluctant to raise prices, been the heart of their season. Can you talk about how that decision came about, what the retailers reaction was to that and how that price increase is going in terms of implementation?
Alan Wilson: The increases were in our Zatarain’s business where we’ve seen continued escalation in rice prices and it was specifically only on the rice products. We also did it in Europe which has less of a holiday seasonality. We’ve not done that in the US market where our fourth quarter is such a critical period and we’ve said in the past that only under certain circumstances on major commodities would we try to do that in our US business. It’s a bit limited to those two areas, other than in the Industrial business where we have the normal pass through of commodity prices.
Eric Katzman – Deutsche Bank: Turning to Europe, it’s kind of difficult for us here to judge, General Mills which has a relatively small European business but did very well this past quarter, Heinz has a very big business in Europe and the last time they reported their numbers were quite good, same thing with Sara Lee, same think with Kellogg. You’ve been kind of signaling a bit more weakness in the market and certainly economists and other folks have contingently said there are problems developing here. I’m wondering, why we would see a greater impact in your business before we would see it with some of the other major package food names.
Alan Wilson: I’m only speculating here about the others because I don’t know their business that well. Our business is largely in the UK and France and our business outside those two markets is still relatively minor. What we are seeing specifically in the UK is that we’re growing share but we’re seeing some category declines. What we’re seeing in France is more of an inventory adjustment by large customers than we’re necessarily seeing weakness and off take. I don’t know if that helps to answer the question but we’re just trying to signal where we see our business. We will say that we saw more deceleration in the last month of the quarter than we saw through the year. We’ve actually through the year our volumes are up.
Eric Katzman – Deutsche Bank: Is it as bad as it was a few years ago where we’re seeing the French flock to these hard discounters where McCormick, at least in the past, didn’t really have a response to that? Is that what’s happening?
Alan Wilson: In France we have not seen a major impact on the consumer off take, we’ve just seen the inventory adjustments and we did introduce a line to help compete with the hard discounters and frankly we’re viewing any move to hard discounters now as an opportunity to put our brands into additional channels. I don’t think that’s as much the impact that it was three years ago. I think what we’re seeing right now is an inventory adjustment.
Operator: Your next question comes from Mitch Pinheiro – Janney, Montgomery, Scott.
Mitch Pinheiro – Janney, Montgomery, Scott: As consumers move down channel are there any margin implications in your business?
Alan Wilson: If we’re selling our branded products there aren’t margin implications. We are selling the same products at the same kind of prices. Certainly the consumer may find some value because certain retailers take different margins on the products but it doesn’t impact our margins.
Mitch Pinheiro – Janney, Montgomery, Scott: How about looking at private label, could you share some category information as how private label has done in spices and dry seasoning mixes?
Alan Wilson: What we’re seeing is private label gaining a small amount of share in spices and losing share in dry seasoning mixes. We’re gaining share in dry seasoning mixes and pretty well holding our share in spices and herbs. Other people are being more impacted than we are. That’s in the US market. I don’t have details on what’s happening in other markets other than that we’re growing share in the UK.
Mitch Pinheiro – Janney, Montgomery, Scott: Last year you, in the third quarter, were pushing a little more inventory into the channel to make sure you had display and the proper amount of inventory ahead of your strong season. Was there any change relative to last year in this year’s quarter?
Alan Wilson: Nothing significant, we had the same program that we had last year. We liked the results of it and getting the displays out early and we continue the same program the impact was about the same so there’s not any major shift.
Mitch Pinheiro – Janney, Montgomery, Scott: The marketing spend increase that was focused you had said Grill Mates, and some other I can’t recall all the areas but was it media or did it involve any other promotion.
Alan Wilson: It was a combination of media and product sampling but it was mostly media.
Mitch Pinheiro – Janney, Montgomery, Scott: It would be easy to make the assumption that for every dollar lost on the away from home channel if it is going in the eat at home channel but how does that work specifically at McCormick? Are you seeing, have you looked at that, are you seeing any one for one study, one for two study, is there any way to color that for us conceptually obviously you benefit on either end but is it truly a wash or is there a benefit or a loss there?
Alan Wilson: It depends on where the shift is occurring in the restaurant channel because our distributor food service business is a branded business very much like our grocery business. In terms of the way we think about it, it is certainly a positive shift for us as people are eating more at home. Because of the purchase frequency you don’t necessarily see that if somebody’s not going to eat out on Friday night that they’re buying a product at the grocery store instead like you might see in beef or chicken. Over time that certainly is a healthy trend for us and a positive margin story for us. I think that’s what we’ve seen for the best part of this year.
Mitch Pinheiro – Janney, Montgomery, Scott: Do you track website hits, recipe hits and things like that on your website?
Alan Wilson: We do and I know the next question is going to be what are they and I don’t have up to date information. I would expect we’re seeing increased trends because a large part of our marketing activity has been focused on interactive media which is largely recipe based. I don’t have good metrics in front of me.
Operator: Your next question comes from Ann Gurkin – Davenport.
Ann Gurkin - Davenport: You made a comment that retailers in France were adjusting inventory is there any issue for McCormick with respect to that?
Alan Wilson: Only from the impact of sales volumes, this happens from time to time in different markets with different retailers. It’s a bit of an accordion process because they’ll shrink down then realize they have out of stocks then they’ll start to shift back up. We don’t expect, as long as there’s not a slow down in consumer off take that it’s going to have a long term impact but we did see it starting to occur in the third quarter.
Ann Gurkin - Davenport: You anticipate it continuing in the fourth quarter as well?
Alan Wilson: It could but at some point if the off take stays healthy it will catch up.
Ann Gurkin - Davenport: Your marketing spend was up 30% in the quarter is this a new level of increased marketing spending or is this increased spending in this current environment, if you could help me with that.
Alan Wilson: It’s a little bit of both. It was a shift into third quarter to really support our Grill Mates products and so it was a bit of decision and a timing that we shifted from second quarter to third quarter. You’ll recall in second quarter our spending was more flattish. In terms of overall we are consciously and proactively increasing our rate of marketing spend. I think that’s very important in economic times like this that we make sure we’re keep our brand relevant, that we’re communicating with consumers and that there’s a reason to come to McCormick products. That’s a very conscious and proactive approach to our marketing.
Operator: Your last question comes from Andrew Lazar – Barclays.
Andrew Lazar – Barclays: I was still surprised with the profitability in the industrial space given the pricing that you did get through there. Was this simply a fixed cost absorption issue around volume? If so, I know one of the solutions you talked about was going out and gaining sales from different customers and such. I guess that can take a little more time versus working on the cost side or maybe reigning in capacity a bit. Are there opportunities on the cost side with capacity as well in industrial or are you where you need to be and it’s just a matter of taking some time to get through sales. I’m trying to get a sense of how long that absorption issue may be an issue in the fourth or into ’09?
Alan Wilson: Remember most of this was a European issue. The European business has been going this year through the same restructuring that we went through in 2006 in the US business. It is a shift as we have discontinued some products where margins weren’t acceptable and we have to rebuild our utilization. We are monitoring and managing our costs in that business. We have significantly reduced the costs that we’ll start to see the impact on that. You’re right, it does take some time to rebuild the right kind of volume but we’re pretty confident that will happen in the near term as we do it just like it has in the US business.
Andrew Lazar – Barclays: The strategy around getting retailers the proper inventory levels and such and receivables terms in the third quarter so they’re well set for the fourth quarter like you did last year. I know you did that again this year would say equally as successful. In other words, no major differences year over year in the amount of let’s say volume pulled through into the third versus the fourth, versus last year.
Alan Wilson: There was no major shift in those. We can track that pretty accurately because this is all display activity. It is pretty even year on year.
Operator: There are no further questions at this time.
Joyce Brooks: This concludes today’s call. Through October 2nd you may access a telephone replay of the call. If you have any further questions or points to discuss regarding today’s information I can be reached.